Operator: Good day, ladies and gentlemen, and welcome to the Quarter Three 2014 Hyster-Yale Materials Handling Incorporated Earnings Conference Call. My name is Mark and I will be your operator for today. At this time, all participants are in a listen-only mode. And we will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I’ll now like to hand the call over to Christina Kmetko. Go ahead please.
Christina Kmetko: Thank you. Good morning, everyone and welcome to our 2014 third quarter earnings call. I am Christina Kmetko and I am responsible for Investor Relations at Hyster-Yale. I will be providing a brief overview of our quarterly results and business outlook, and then I will open up the call for your questions. Joining me on today’s call are Al Rankin, Chairman, President and Chief Executive Officer of Hyster-Yale Materials Handling; Colin Wilson, President and Chief Executive Officer of NACCO Materials Handling Group; Ken Schilling, our Senior Vice President and Chief Financial Officer; and Jon Taylor, Vice President of Financial Planning. Yesterday we published our third quarter 2014 results and filed our third quarter 10-Q for the three and nine months ended September 30, 2014. Copies of our earnings release and 10-Q are available on our website at hyster-yale.com. For anyone who is not able to listen to today’s entire call, an archived version of this webcast will be on our website later this afternoon and available for approximately 12 months. Before we begin, I would like to remind participants that this conference call may contain certain forward-looking statements. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements made here today in either our prepared remarks or during the following question-and-answer session. We disclaim any obligation to update this forward-looking statement which may not be updated until our next quarterly earnings conference call, if at all. Additional information regarding these risks and uncertainties was set forth in our earnings release and in our 10-Q. Also certain amounts discussed during this call are considered non-GAAP. The non-GAAP reconciliation of these amounts are included in our 2014 third quarter earnings release available on our website. Now let’s discuss the quarterly results. For the third quarter revenues were up 8% to $695.8 million from $643.9 million in 2013. While revenues were up moderately, operating profit increased 16% to $36.3 million for the 2014 third quarter from $31.3 million last year. And net income and earnings per share rose 21% to $28.4 million or $1.70 per share, up from $23.5 million or $1.40 per share in 2013. These increases are primarily the results of substantially lower selling, general and administrative expenses partially offset by lower gross profit, the reasons for which I will explain in further detail in a moment. Overall, as we expected last quarter, a shift in sale to higher price lift trucks, higher part revenues and an increase in unit shipments drove the increase in our third quarter revenues. However, the unit shipment increase was affected by a number of puts and take. North America and Europe drove the overall improvement but volume shortfalls in Brazil resulting from reduced production largely because of the significant market downturn in that country partially offset the improvement. We continue to believe our five strategic initiatives are gaining traction as evidenced by the increase in unit and parts volume, and we continue to focus on what we can control. However, currency which favorable affected our revenues, only as a result of how sales and foreign currencies are translated into U.S. dollar for consolidated reporting purposes was actually a headwind during the quarter, and one of the drivers for our reduced gross profit. Gross profit was also lower because of reduced earnings and remarketing of used trucks, an increase warranty expense. Even though gross profit declined slightly, operating profit improved significantly as a result of substantial decrease in selling, general and administrative expenses. You may recall that in the third quarter of 2013 we recognized significantly higher incentive compensation expense from a rapid rise in our stock price. In the third quarter of 2014 we realized the opposite effect. Our selling, general and administrative expenses declined mainly due to lower incentive compensation estimate of which $4.5 million was related to non-cash equity compensation. Also the absence of a non-cash charge of $1.2 million related to pension settlement accounting reported in 2013 contributed to the decrease in selling, general and administrative expenses. We believe growth rates for the global forklift truck market are expected to decelerate during the remainder of this year and in 2015 resulting in only modest growth compared with a comparable prior year period. Growth in the remainder of 2014 and in 2015 is expected to be driven by the Western Europe, Middle East and Africa market, with smaller growth in Asia Pacific due to softening in the Japanese and Chinese market growth rate. We expect the Americas market growth to slow in the fourth quarter of 2014 and have only modest growth in 2015 as growth rates decelerate in North America, and the Brazil market shows only a partial recovery. Other areas in Latin America are expected to strengthen moderately in 2015. Despite these mixed market conditions we anticipate an overall modest increase in unit shipments and parts volumes, and as a result increased sales over the remainder of 2014 and then 2015 compared with prior year period. The majority of the 2014 unit shipment increase is expected to come from North America, smaller increases in Asia Pacific, partially offset by the weakness in Latin America including the volume shortfalls in Brazil and in certain European markets, particularly Russia. We expect the increase in unit shipments in 2015 will be driven by Europe and North America, with smaller increases in Asia Pacific. Unit shipments in Brazil and Russia are expected to increase slightly in 2015 from very low 2014 level. A moderate increase in operating profit is expected during the fourth quarter of 2014, significantly lower estimated incentive compensation in addition to anticipated increased unit volume, a shift in sales mix to higher margins units and product enhancements are all expected to contribute to this improvement. However, these favorable items are expected to be substantially offset by anticipated pricing pressures, higher manufacturing cost and continued investments in our strategic initiatives. We also expect net income in the fourth quarter of 2014 to improve. The effective increased operating profit, as well as lower interest expense from lower debt outstanding and lower interest rates, and the absence of a $2.8 million pre-tax write-off of deferred financing piece taken in 2013 are expected to be partially offset by a higher effective income tax rate. Looking at our various segments, fourth quarter 2014 operating profit results are expected to improve in the America segment with the anticipated lower employee related expenses and increases in unit and parts margins partially offset by unit pricing pressure, higher manufacturing costs and unfavorable currency movement. We expect operating profit in the Europe segment to decline in the fourth quarter of 2014 resulting from lower unit volumes and pricing pressures. Finally Asia Pacific results are expected to be higher in the fourth quarter of 2014 from an anticipated increase in unit volume. Now let me say a few words about 2015. During 2014 we recognized a gain on the sale of our Brazil plant for $17.7 million. If you exclude the effect of this gain on 2014 results we expect operating profit in 2015 to be similar to that of 2014. Anticipated increases in unit shipments and part sales expected favorable foreign currency movements largely from the strengthening of the U.S. dollar and an anticipated shift in sales mix to lift trucks of higher average profit margins are expected to be offset by increases in employee related expenses and higher marketing expenses associated with the execution of our strategic initiatives, as well as cost associated with the transition to a new plant in Brazil and the roll out of a global manufacturing information technology system in 2015. An increase in material cost is also anticipated. However, we do expect these cost will be mostly offset by price increases. These factors combined with higher interest expense are expected to result in a moderate decline in net income from 2014 levels. Finally, we expect cash flow before financing activities for 2014 to decrease significantly from last year, primarily due to an increase in capital expenditures largely driven by the construction of our new plant in Brazil which is not anticipated to be fully complete until early 2015. We also expect full year working capital to increase. Cash flow before financing activities in 2015 is forecasted to improve compared with this year as working capital requirements are expected to moderate, and we incur fewer capital expenditures since the bulk of the Brazil plant construction is expected to be done this year. We are hopeful that economic growth will improve in 2015 but are mindful of the uncertainties and risks in certain markets. We will continue to execute our key strategic initiative and if we see more positive economic momentum than we discussed here, we believe we are well positioned to respond and deliver better results for our customers and our stockholders. One last item worth noting before I open up the call for questions is that since the start of our $50 million stock repurchase program in December 2012, we have purchased almost 535,000 shares for an aggregate purchase price of $38.5 million including approximately 431,000 in 2014, most of this in the third quarter for an aggregate purchase price of $33.3 million. That concludes my prepared remarks, I will now open up the call for your questions.
Operator: (Operator Instructions) The first question comes from the line of Mig Dobre of RW Baird.
Joe Grabowski – Robert W. Baird: Good morning, everyone. This is Joe Grabowski for Mig this morning.
Christina Kmetko: Okay.
Joe Grabowski – Robert W. Baird: It seems like the quarter pretty much came out as you guys expected but maybe kind of going through each segment, if we start with the Americas, unit shipments were down 2% but average selling price per unit was up 9% which hopefully maybe you could walk us through a little bit of dynamics around lower shipments but higher ASP.
Al Rankin: Ken or Jon you want to comment on that?
Ken Schilling: Al, I think I’d be happy to respond. In the second quarter we talked you through the story that we sold a number of our lower end walkie trucks in large numbers, and we said that our average sales price per truck in the second quarter was down because of that mix shift and we – what’s happened in the third quarter as we’ve had our mixed shift restored back to a more healthy higher priced higher margin product line…
Al Rankin: To more normal levels.
Ken Schilling: Yes, restored to a more normal levels.
Joe Grabowski – Robert W. Baird: Okay, alright. And do you expect that normal level to continue into the fourth quarter?
Al Rankin: Yes, I mean that’s what’s in our projection.
Joe Grabowski – Robert W. Baird: Okay, great. And then on Europe, unit shipments increased 10% in the third quarter, and year-to-date operating profit is up more than 40% yet you’re expecting lower unit shipments and pricing pressure in the fourth quarter and into 2015. So maybe talk a little bit about the outlook considering the strength that we’ve had year-to-date.
Ken Schilling: Go ahead, Al.
Al Rankin: Particularly I made a good starting point as some of the countries where we have headwinds.
Joe Grabowski – Robert W. Baird: Okay.
Ken Schilling: Side winds are going to be more than…
Al Rankin: Let me have Colin Wilson to comment for you.
Joe Grabowski – Robert W. Baird: Okay.
Colin Wilson: Two of those strong markets in Europe and Turkey where we’ve just gone to a dealer changeover, that’s impacted our bookings which would impact our shipments into the fourth quarter. And then Russia is a very big market for us and we’ve seen significant headwind in that territory.
Joe Grabowski – Robert W. Baird: Okay. Alright, thank you. And then finally on Asia, third quarter in a row of very strong unit shipments but the ASPs have been trending lower all year. When do you think the year-over-year ASPs kind of normalize there?
Colin Wilson: We’ve been doing well in Asia, our bookings have been very strong. In Australia our mix has shifted towards Asia because we have a dealer, big dealer, around in Australia that had too many trucks in inventory, and so they have been bleeding trucks out into the market. So maintaining the retail sales level but the number of bookings that have been placing on us have been reduced while the inventory correction which is not behind them was completed.
Al Rankin: In addition, just to put – I mean we don’t think a lot about average selling price, it’s a little hard to react directly to that. We do talk about mix and I think that – just keep in mind that in Asia we have a very significant big truck business and those trucks can sell for over $0.25 million apiece. And our more normal trucks might sell in the $20,000 to $25,000 range. And to add to that in our big truck business as you can imagine it’s a business of small numbers and very large selling prices, so it can influence that particular number you’re talking about and I believe that our big truck shipments have been – we had some very high big truck shipments for a period of time and they have been less high reasonably.
Joe Grabowski – Robert W. Baird: Okay, now that makes perfect sense. Thank you. And just a couple of more questions, maybe an update on the progress of the Brazil plant, when will that sort of be up and running? And then with the weakening and demand we have seen in Brazil as the year has progressed, what do you think the impact of the new plant will be on Brazilian shipments?
Al Rankin: Colin?
Colin Wilson: Yes, I mean the plant is substantially built. The commissioning event starting production we expect to do that in the first quarter of 2015. Meanwhile we’re still in full production in our existing plant in Brazil. So it will be building a little bit ahead of the existing plant and then we’ll have a down period for a short period of time and then starting to produce in the new plant in the first quarter of 2015. Clearly, the demand in Brazil is lower at this moment in time, there has been a lot of uncertainty leading up to the election, and just generally, a concern about when the recovery will come, I think generally people expect 2015 to be a fairly soft year, maybe it’s a little bit stronger than 2014 with the expectation that we’ve seen a much stronger recovery beyond that. We’ve been in Brazil for a long time, we’ve been – I think it’s about close to 50 years, we’re used to managing through picks and flops, this is no different but mild of many of the picks and flops we have managed through in the past, we have just had deduction [ph] accordingly, we work very closely with our dealers, to make sure our dealers are not over inventoried. And as we build a new plant we will be looking to expand the wins your products build there to allow us to build a stronger position still in the Brazilian market.
Al Rankin: But make no mistake about it, if you go, look backwards to 2013 which was a pretty good year, the business really did quite well and in 2014 in Brazil the volumes have decreased significantly that are being sold at retail. And we try to operate in a very disciplined way with our dealers so that they don’t end up with more inventory than they should have and we want to keep them as healthy as possible. So we cut back very hard on our own manufacturing as our dealers have bring down their inventories to the levels that are appropriate for lower level of market. And what we think is that process basically by the end of this year will be pretty much washed through, and we’ll begin to see some increase in volume because our dealers will be buying more again. And we’re going to begin to climb back and will have a better year in Brazil but we’re going to still be operating on a very low profitability level in Brazil in 2015 unless things get a lot more healthy than we think they are likelier to get. And then we’re really looking for 2016 and 2017 for the markets to come back and for the business profitability to reach the levels that we envisioned in this new plant structure that Colin outlined to you.
Joe Grabowski – Robert W. Baird: Okay. Thank you, that’s very helpful. And then I just wanted to touch upon your growth rate outlook for deceleration for the remainder of 2014, into 2015. That seems more cautious outlook [Technical Difficulty].
Al Rankin: Hello? No, it’s not coming through, try it again. No, we’re not coming through here in Cleveland.
Joe Grabowski – Robert W. Baird: I can hear you now.
Al Rankin: We can hear you now.
Joe Grabowski – Robert W. Baird: Okay. Yes, it was sort of garble but it’s clear now. I’m not sure if that was on my end or your end.
Al Rankin: Okay. I think – is everybody still connected, let me just ask Colin and – your gang [ph] is still there?
Colin Wilson: Yes, we are.
Al Rankin: Okay. We were – I think the question was about the market and I was just commenting that or about to comment that we had some real headwinds, Colin described Europe with Russia and Turkey, but as you can imagine Eastern Europe in general is a bit unsettled. If you turn to Brazil, we’ve described the situation in Brazil. And then if you look at the more developed markets; North America, Western Europe, well we’re not yet near the peak, we think that probably 2017-2018 – I think Jon, that’s our assumption, is it not?
Jon Taylor: Yes, that’s correct.
Al Rankin: I think what we typically see is that as we begin to move or past the midpoint that the rate of growth comes down and that’s particularly appropriate given the severity of the downturn that we had in 2008-2009. So I think those are the major influences that we’re talking about here but I’d also add that we’re being pretty conservative with regard to Europe at this point. We feel reasonably good about North America but Europe is still – the question is to just how energetic the economy is going to be, and as you know Germany has been struggling from a GDP perspective in the last quarter or so. So those are the reasons that we made that comment.
Colin Wilson: Yes, and in place like China [indiscernible] market is going to slow – is not going to be huge but we’re just saying the rate of increase that we’ve seen over the last few years, we see that rate of increase moderating. So the market is still very strong but we don’t see the same level of increase going forward, at least not over the next few years.
Al Rankin: So that’s I think our perspective on your question.
Joe Grabowski – Robert W. Baird: Perfect, okay final question for me, and thank you very much for taking all my questions. Perhaps tell us a little bit more about the new global manufacturing IT system, how much it’s going to cost when the benefits will begin, and if – sort of how major of the new system is there any implementation risks or anything like that?
Al Rankin: Colin, you want to comment on that?
Colin Wilson: Yes, I mean this is putting SAP basically into all of our facilities, globally we are doing it in a progressive way, we have it in all of our finance at the moment but we have it in our tally operations, we’ve implemented it in Brazil, in 2015 we’ll be implementing it in two of our North American plants, and then basically escalating [ph] beyond that so to be substantially complete in 2016-2017. I always said that [ph] set pieces demand allows you to do all sorts of analysis and interrogation of your business that our existing systems won’t allow us to do, so we’re getting the benefits in the plants in which we implemented SAP. I think we’ve seen a majority of the benefits when we completed the implementation of it throughout all of our locations worldwide.
Al Rankin: And I just say, you can – I think you can tell from Colin’s comments that obviously any IT program of this magnitude has to be managed very, very carefully. On the other hand, the core of these capabilities has already been implemented in Italy and Brazil, and so it’s really more of a rollout than starting from scratch, and the more plants we’ve done the more experience we have to bring the bear on the additional plants that are being brought onto system. And I might just add that the systems that they are replacing are quite old, and so it’s really necessary for us to move to bring on new systems that can be properly serviced and kept up-to-date.
Colin Wilson: And one of the other things we’re doing is, we’re putting a dedicated team that will basically move from location to location. So we’re not treating each new implementation as new wins, we’re basically moving to a single instance of SAP globally, and the global transfer will – we’re calling it a global transferable model and we have a team of very, very seasoned people that basically allow us to develop activities internally to make sure that we migrate best practices and as we learn and go forward, back flush all of those, any improvements into our existing installations.
Joe Grabowski – Robert W. Baird: Okay, thank you everyone and good luck in the fourth quarter.
Operator: The next question comes from the line of Joe Mondillo of Sidoti & Company. Please proceed, your line is open.
Joseph Mondillo – Sidoti & Company: Good morning, everyone.
Christina Kmetko: Good morning.
Joseph Mondillo – Sidoti & Company: So my first question has to do with sort of your outlook in terms of the cost structure. There is a bunch of different cost that you highlighted that are going to weigh on earnings in 2015, so I just wanted to hash out a few of them. First of the higher interest expense, why is interest expense going up and how much do you anticipate it to go up?
Colin Wilson: Joe, I don’t think we gave a specific number but we’re – with the Brazil plant there are portions of it that it makes sense for us to finance locally. So we’re going to layer on some debt with financing which is advantageous to us locally, and that’s really the primary source of the increase.
Joseph Mondillo – Sidoti & Company: And is that going to be sort of a temporary type of thing where by the end of the year, by first quarter of 2016, that sort of paid off or just given your balance sheet…
Colin Wilson: I think our guidance is that we expect to have very comparable numbers Joe, so small changes in numbers are material against a relatively zero change and I think we’re really talking about something that’s relatively small, but it comparison it’s something we thought was appropriate to call out.
Al Rankin: Let me add to your comment. At this point we have not made longer term decisions on the financing structure that we want to have in Brazil, it’s a very valuable currency and if we – and we have more capital, we will have more capital deployed there. So there is a need for more financial support. And how much is debt, how much is equity, and where the equity comes from, to some extent is a question that lies ahead for us but we don’t want to – our approach at the moment is to assume that we finance locally, but there may be other financing approaches that make sense as we looked further at the situation and have a better perspective on our working capital needs, as well as the cost of the new plant. So it’s too early for us – I would just say overall, that this is very early in our 2015 planning cycle, we have not completed detailed reviews of our bottoms up plan [Technical Difficulty]
Christina Kmetko: Joe could you please help us figure out what’s going on.
Joseph Mondillo – Sidoti & Company: I can hear you now, you just…
Christina Kmetko: Okay. Thank you, Joe.
Joseph Mondillo – Sidoti & Company: I couldn’t hear any of the half of last half of your statement but I – you started to go off into the fact that you are in the early stages of 2015, haven’t finalized that, I understand that.
Al Rankin: Right. Okay, so we’re in the early stages in 2015 and what I was saying, just to make sure that everybody heard it was that, we have decisions to make about the permanent financing structure in Brazil, and given the volatility of the currency and the early days of implementing the new plant in terms of working capital needs and the level of the market. We just have made those decisions at this point, so there are going to be more to come but at the moment that’s our planning assumption.
Joseph Mondillo – Sidoti & Company: Okay. And the whole strategy with the new manufacturing plant in Brazil was that facility – you sold the facility and sort of downtown Sao Paulo, is that right?
Al Rankin: Correct.
Joseph Mondillo – Sidoti & Company: And you are building a facility outside of Sao Paulo, and so that would actually save you money, and then maybe there is a small offset with the financing but overall net-net you should actually be benefiting from this project?
Al Rankin: We expect to be benefiting in many ways but we will not, you will not see those benefits when we’re operating at the very moderate shipment level currently exist in Brazil, so that lies ahead of us. I mean we all thought building a substantially bigger plant.
Joseph Mondillo – Sidoti & Company: Okay. So maybe the benefits that we’re looking forward, we want to until 2016 or beyond?
Al Rankin: Right, I think that’s a fair assumption.
Joseph Mondillo – Sidoti & Company: Okay. And then knowing that you probably haven’t determined this fully but how significant to sort of your comments that net income is going to be sort of flattish to down next year, how significant are the costs associated with the transition of that plant? I don’t know if you can quantify it but in terms of sort of that guidance, how significant is that type of – the piece of the puzzle and is that going to be sort of a onetime type thing, so in 2016 you won’t see those costs to reoccur?
Al Rankin: Certainly in the first half there will be some onetime costs, we have a process of building up inventory which absorbs in the old plant and then a period when we have the inventory service our dealers and/or they’ve taken it early. And then we ramp up in the new plant. So that whole process will be going on in the first six months of the year, I don’t think we quantify that for public purposes but it is not in substantial a phase-out phase-in process.
Joseph Mondillo – Sidoti & Company: Okay. But there will be some cost that won’t reoccur there…
Al Rankin: While thinking of a reply there is a period of no production which means no absorption of the fixed cost in Brazil in the manufacturing plant. And so it’s kind of automatic that those costs are building up for a period of time and you’re not selling anything, some of it will go into inventory but not all of it.
Joseph Mondillo – Sidoti & Company: Okay. And when is – what’s the timeframe of that sort of temporary downtime?
Al Rankin: Colin?
Colin Wilson: Well, I think couple of things. One, the actual process moving, probably below single digit something we are not talking huge numbers. As far as the timing of – we’ll be in full protection in the second half of 2015, so there will be a ramp up during the first quarter but our results will be – our results out of Brazil will be impacted during the first half of next year, I think we’ll be at normal levels than the second half of next year.
Al Rankin: Joe, under the current rules we can increase certain expenses that relate to the strength of transitioning cost but moving cost in particular items that we cannot accrue at a time and we can only expense them as incurred. And obviously, we overall we move once.
Colin Wilson: But the bigger term I think is going to come from the – we’re not going to be absorbing any – having any absorption in the first couple of months of the year.
Joseph Mondillo – Sidoti & Company: Okay, understood. How big is Brazil of the America segment?
Al Rankin: Brazil, it depends which one you’re looking at. I mean the North American markets are up about – close to $200,000, the Brazil market right now is under $20,000 but I was shocked – we’ve always had a historically very high share, it’s a very – Brazil has been an important market to us in terms of our global footprint.
Joseph Mondillo – Sidoti & Company: So roughly speaking, as a percent of total sales in the America segment, how can we take this ballpark?
Al Rankin: I don’t think we’ve ever given that number. Joseph Mondillo – Sidoti & Company:
Al Rankin: I don’t think we’ve ever given that number.
Joseph Mondillo – Sidoti & Company: Do you want to maybe give at this time just given the headwinds that were into spin?
Christina Kmetko: Joe, there is an easy way to do that, that I can walk you through after the call but if you look at our segment footnote, the geographic segments, we specifically say how much is U.S., and you can back out U.S. from total America sales and get an idea of what non-U.S. sales are.
Joseph Mondillo – Sidoti & Company: Okay, that’s good.
Colin Wilson: It is 5% to 10% in Brazil. And as you look at GDP of Brazil, and the GDP of all of Latin America, it’s about half and if you look at population it’s about half, and it’s not too much different unless [ph].
Joseph Mondillo – Sidoti & Company: Okay. And then so sort of my last part of this whole sort of cost question, the sales and marketing, this year you started really investing in sales and marketing, trying to leverage the new products and gain market share through that, it sounds like through – what I’ve read in the press release and what you’ve said is that you’re anticipating even another pump up in sales and marketing in 2015, is that correct or…
Colin Wilson: Joe, let me comment on that because I think it’s a very important point. I mean if you go back to guidance we gave a while ago, several quarters ago, we said that our GS&A in late 2013 and 2014 was run – sort of the running rate was going to be in the low 80s, $80 million. And if you – per quarter – and if you look at the GS&A in the third quarter it was substantially below that. There are really two reasons for that; one is that incentive compensation is below the norm levels. So setting aside the issue how to compare it with 2013 which was abnormally high, in 2014 it’s abnormally low, so that’s one factor. But the other factor is that I think it’s fair to say that the ramp up of cost to support the strategic initiatives has come more slowly than we anticipated. And that’s particularly true a bit in Europe where some of the pieces weren’t implemented and tell later than they were implemented in the U.S. And so as we look to 2015, we’re at least assuming for the time being that we really are going to get up to the level that we think we need to sustain the strategic initiatives that we have. And then of course you have the added impact if there has been – there is some inflation in there that will move up the numbers from the sort of lower 80s that we gave you before. So those are some of the things that are going on in GS&A overall. But let me add that the other factors that I think are very important here is that strong market – in some of the areas we’re adding capabilities that are being expensed in GS&A, it’s going to take some time for those capabilities to reach their appropriate level of performance, number one. And number two, it’s going to take some time for them to achieve their full potential in the marketplace. So from our advantage point in a way, we think this is – these are long term, almost investment like, and I think we’ve said historically that we expect them to payoff over the next three to five years. So if you go back to the beginning of this year, I think those are the – that’s the terminology we use, and I’ve just reiterated that, that we expect them to payoff increasingly as we move forward but it isn’t going to happen necessarily, quickly. So you really do have an investment process going on even though from an accounting point of view, it’s expensed.
Joseph Mondillo – Sidoti & Company: Okay, that’s helpful, thank you. That sort of brings me into my next question which is this five point growth strategy, long term growth rate strategy include sort of the investments that you’re making in the sales and marketing, as well as all the product’s introduction, and attacking warehouse customers and such – is there any statistics or can you address how the industry has been performing versus how you have been performing versus the industry?
Colin Wilson: Well, I think – first of all there are many sort of short term ups and down. And given our position of high share in Brazil, given our position in Russia, given our position at Turkey, we have short term fluctuations that affect some of these things. But if your question is really focused on, and we feel comfortable with these, programs are going to pay off over the next years, answer yes, that we do. And to me that’s the most important thing, to keep the focus on, we feel that we’ve been very disciplined, and 2014 [Technical Difficulty]. Can you hear us, Christie?
Christina Kmetko: I can hear you Colin.
Colin Wilson: Okay because we were talking before and you were saying, you thought it was Joe.
Joseph Mondillo – Sidoti & Company: I can hear you guys now, just came in.
Christina Kmetko: Okay.
Colin Wilson: I don’t know when – I’ve just asked…
Joseph Mondillo – Sidoti & Company: I think I got.
Colin Wilson: Did you get my answer?
Joseph Mondillo – Sidoti & Company: I don’t think I got the very end of it but I think you were sort of saying that you’re comfortable with the long term growth strategy.
Colin Wilson: And that the short term has a lot of ups and downs and we’ve been very, very disciplined and trying to keep our dealer inventories down which detracts from our current shipments.
Joseph Mondillo – Sidoti & Company: Okay. And so, I guess heading into this year one of the biggest things was disinvestment in the sales and marketing, and maybe this is more of a transition year because you’re going to see a little bit higher cost. I guess you didn’t see as much higher cost as you did but I guess this whole sales and marketing, trying to leverage the new products with investment is going to occur over sort of a longer period than just 2014. In that case does that sort of push out to the right sort of the market share gains that you were maybe hoping to get coming into this year?
Al Rankin: No, I think the way I put it is, it’s consistent with when we sort of expected to get the gains but whether the investment community has thought they would come more quickly is another issue. We think it takes time and we would urge everyone to think about it and put it in the context of our objective of reaching 7% operating profit at the peak of this cycle, and that said, let’s say notionally we think that 2017-2018.
Joseph Mondillo – Sidoti & Company: Okay, alright, thanks. I’ll jump back in queue, thanks.
Christina Kmetko: Mark?
Al Rankin: Mark, are you there?
Colin Wilson: Joe said he would jump back in queue.
Christina Kmetko: No, no, no, we’re trying to reach Mark, our operator.
Operator: Hello, yes, the next question is from the line of Mike Syski of Global [ph]. Your line is open.
Unidentified Analyst: Good morning, everybody.
Al Rankin: Good morning.
Unidentified Analyst: I’m sorry for me the questions were hurried out, I’ve kind of missed a big chunk of it, with some of us having difficulties and I also thought you dropped the call briefly as well, so if anything has been answered just let me pass here. Just my first question is on the current pricing in the overall market, has a cheaper yen affected as some competitors have priced their products in recent months. Can you just maybe kind of comment on how that looks currently, and then how that might go into 2015, not just on FX rates but just how is the current euro market kind of shaping up on our pricing?
Al Rankin: I’ll just start and then maybe Colin can comment. First of all with regard to the yen, remember that a couple of years ago it was terribly overvalued. And so it was a very difficult proposition to producing chip from Japan, and we have a very substantial factory there, so that affected us. Now the yen, we would say is undervalued but I’m not sure that, that is the biggest driver of short term pricing. I really think we have some very – particularly with Toyota, very disciplined, very significant competitor, and it’s always topped competition with them but there – and there is always pressures from that point of view. So I think that’s probably the best way to put it at this point and relate it directly to the yen. Certainly our cost structure is being helped by the yen level today, I mean we buy substantial amount of yen, we have a significant amount of yen content in our products, we have many currencies in our products but we have yen in them as well, so those have improved our cost structure, perhaps not as much as some of the domestic – some of the large Japanese corporations but that would be my perspective. Anything you want to add Colin?
Colin Wilson: No, I mean as you said, obviously a verified market and where people are sourcing products from for their various markets. If you look at the North American market which is our biggest market, Toyota, UniCarrier which is the old Nissan, have higher yen content than we do. And as Al said, I think – Toyota, who is very large player are very disciplined but clearly the yen is giving them more flexibility, in certain situations they’ve become aggressive in the marketplace but so can we. And so I think we basically – each pick out fights and we win some we lose some, but I don’t think it’s affecting the competitive balance in the marketplace materially at this moment.
Unidentified Analyst: Okay, got it. And I think you touched on the dollar [ph] question earlier but I could miss part of it. It sounds like you had mentioned that some of your investors you are meeting today are kind of more for the long term as you kind of hopefully ran to that 7% margin at the current level peak. But have you been thought or are there any opportunities in 2015 that any linear than you currently are on what’s going on today, or how do you pretty much taking your older cost as you were hoping to had takeout over the last couple of years?
Al Rankin: I think you can assume that – we, the way I would put it, yes, we are always in a mode of continuous improvement that relates to our plants, that relates to the approach we take, and all of the non-plant expense areas, and indeed with our supply base as well. On the other hand, we’re not in the area where big costs are coming out, and in a sense you have to have continuous improvement to keep yourself in a position of having constant profits because prices don’t rise to cover – you’ve got labor cost increases and you have to offset those. So I think you should not think about this from the point of view of latent cost reduction opportunities, the real issue here is putting in place the capabilities, we need to accomplish our programs by 2017-2018 period, and having some kind of a ramp up between now and then as those programs began to gain momentum and really start to perform for us. One thing I didn’t mention or that didn’t come out in the last call is that we do still have some additional product initiatives that we are continuing to expand our product line, we have a fairly complete utility line, we have a very complete premium line, but we have some expansion of our line in the area of standard products and those products really won’t be in the marketplace until 2016 I believe. Colin, is that correct?
Colin Wilson: Yes.
Al Rankin: So I think there are new things happening, and then of course we have always continuous improvement programs in our product development activities that certainly true broadly of our warehouse product line, it’s true of our premium product line. So as you look further down the track, we continue to invest heavily in new products and those will make a difference as we reach this period of 2017-2018 in terms of the maturities of not only the special efforts, particularly in sales and marketing that we’re putting in place, but also the product capabilities that will be enhanced of those people to accomplish our objectives.
Unidentified Analyst: Okay. And just sneaking one more here before the close of the hour, you got the outlook for improved cash flow before financing, some options [ph] due to less CapEx next year. Can you may be kind of go over with us in that environment what you – if you might be changing or at all planning some different issues of your access capital going forward?
Al Rankin: Well, as you know we have a dividend that is in place that is returning cash to shareholders. Even our share repurchase program that is outstanding, there is some to be completed in that program at the right time. And I think as far as anything further that – we haven’t addressed those questions, we discussed them with our Board but they haven’t been paramount in our thinking at the current time, and probably won’t be for a while. We’re always looking for opportunities to invest our capital wisely, that would be our preference but it’s not easy to do in a way that we think really would work for us. So I kind of leave it at that.
Unidentified Analyst: Okay. Well, thanks so much.
Christina Kmetko: Mark?
Operator: There are no further questions in the queue.
Al Rankin: Okay. I thank – we thank you all very much. And if you have further questions, I think Christie is available. And Christie, you want to comment?
Christina Kmetko: Yes. You can reach me if you have any follow-up questions at 440-229-5168, and again we apologize for the technical difficulties we had today. So if you did not get an opportunity to ask a question or did not hear somebody answer here, please feel free to give me a call.
Al Rankin: Thank you very much.
Operator: Thank you, ladies and gentlemen for your participation in today’s conference. A replay of today’s call will be available which can be accessed by dialing 888-286-8010 and entering the reply code 53268480, that’s 53268480. This concludes today’s presentation. And you may now disconnect. Enjoy the rest of your day.